Operator: Good morning and welcome to the Sabre Second Quarter 2024 Earnings Conference Call. My name is Riska and I will be your operator. As a reminder, please note today’s call is being recorded. I will now turn the call over to the Senior Vice President, Investor Relations and Treasurer, Brian Evans. Please go ahead, sir.
Brian Evans: Thank you and good morning everyone. Welcome to Sabre’s second quarter 2024 earnings call. This morning we issued an earnings press release, which is available on our website at investors.sabre.com. A slide presentation, which accompanies today’s prepared remarks, is also available during the call on the Sabre Investor Relations webpage. A replay of today’s call will be available on our website later this morning. We advise you that our comments contain forward-looking statements that represent our beliefs or expectations about future events, including the effects of growth strategies, distribution volumes, benefits from our technology transformation, commercial and strategic arrangements and our financial guidance and targets, free cash flow and liquidity, among others. All forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from the statements made on today’s conference call. More information on these risks and uncertainties is contained in our earnings release issued this morning and our SEC filings, including our Form 10-Q for the quarter ended June 30, 2024. Throughout today’s call, we will also be presenting certain non-GAAP financial measures. References during today’s call to adjusted EBITDA, adjusted EBITDA margin and free cash flow have been adjusted to exclude certain items. The most directly comparable GAAP measures and reconciliations for non-GAAP measures are available in the earnings release and other documents posted on our website at investors.sabre.com. Participating with me are Kurt Ekert, President and CEO and Mike Randolfi, Chief Financial Officer. Scott Wilson, EVP and President of Hospitality Solutions, will be available for Q&A after the prepared remarks. With that, I will turn the call over to Kurt.
Kurt Ekert: Thanks, Brian. Hello everyone. I am pleased to share that we delivered another quarter of strategic advancement and success for Sabre driven by the focused execution, hard work and dedication of our team members worldwide. Earlier today, we reported second quarter financial results that exceeded our guidance. We delivered steady revenue growth, a meaningful increase in adjusted EBITDA, significant margin expansion, and we generated positive second quarter free cash flow for the first time in 5 years. This outperformance gives us the confidence once again to increase our full year 2024 revenue and adjusted EBITDA guidance. We remain on track to deliver our target to more than double adjusted EBITDA from 2023 to 2025 driven primarily by our growth strategies as well as cost efficiencies, including our technology transformation. Turning to Slide 4, you can see an overview of the topics that Mike and I will cover this morning. First, I will review our second quarter business highlights, including our financial performance and recent commercial wins. Next, I will provide an overview of the progress we have made in our growth strategies. I will close with a snapshot of two of our new platform product offerings. Finally, Mike will take you through our second quarter financial results and provide an update to our 2024 guidance. Please turn to Slide 5. Sabre achieved solid year-on-year revenue growth in the second quarter driven by a higher distribution booking fee from a richer customer mix, increased CRS transactions in hospitality solutions and higher hotel distribution bookings driven by improved content and higher hotel attach rate. These top line metrics, coupled with strong cost management, drove $129 million of adjusted EBITDA, which was $56 million or 76% above the prior year quarter. Importantly our adjusted EBITDA margin increased by 7 points year-over-year from 10% to 17%. On to Slide 6. As a reminder, our long-term strategy is guided by four priorities. Our first priority is to generate positive free cash flow and delever the balance sheet. Earlier this year, we refinanced debt maturities to better align our maturities with free cash flow generation over the next few years. Additionally, we expect the company will generate positive free cash flow in the third quarter, fourth quarter and for full year 2024. On our second priority, achieving sustainable long-term growth, we continue to grow our share of air distribution bookings on a year-over-year basis for the sixth consecutive quarter. Additionally, our Hospitality Solutions business continues to gain momentum in the marketplace with another strong quarter of execution and growth. Our third strategic priority is to drive innovation and enhance our value proposition. In May, we announced SabreMosaic, our next generation airline retailing platform. We also delivered exciting new products in hospitality solutions. I will touch on both of these shortly. Last, our team continued to execute on our technology transformation as greater operational efficiency drove significant cost savings. We remain on track to achieve our overall targeted cost savings of $250 million in 2025 as compared to 2023. Turning to Slide 7, Travel Solutions delivered a solid second quarter. Revenue growth was driven by year-over-year increases in our average booking fee, air distribution, industry share expansion and meaningful growth in hotel distribution bookings. Sabre’s air distribution bookings in the second quarter declined 1% year-over-year as compared to negative 2% for the industry. This was driven primarily by softness in Asia group bookings and Latin America bookings as well as general softness with leisure intermediary bookings. Corporate travel volumes were positive for the industry and up between 2% and 3% for Sabre. Based on recent Sabre commercial wins as well as easier year-over-year comparisons, we expect year-on-year air distribution bookings growth to resume in the second half of this year and continue to build momentum as we exit 2024. Early indicators in Q3 support this outlook. On to Slide 8, as we highlighted throughout 2023 and again last quarter, we are consistently increasing our share of air distribution industry bookings. This chart highlights that our share expanded for the sixth consecutive quarter on a year-over-year basis. Based on signed, but not yet implemented business as well as a rich commercial pipeline, we believe we are on track to achieve further industry share gains. Turning to Slide 9, our Hospitality Solutions team delivered strong results in the second quarter, supported by continued product improvements and enhancements that are generating increased transactions, product expansion and customer wins. For the second quarter, revenue was up 9% and we delivered adjusted EBITDA of $10 million. Adjusted EBITDA margin improved by 6 points from 6% to 12% and recurring revenue during the quarter remains strong at 81%. Our implementation with Hyatt is going well and we went live with the first Hyatt CRS transactions during Q2 just 1 year after signing this agreement. We believe the flexibility and efficiency of our industry leading platform solution enables rapid IT implementations at scale. We are on track in Hospitality Solutions to achieve double-digit revenue growth and double-digit adjusted EBITDA margin for full year 2024. Please turn to Slide 10. During the second quarter, we announced a number of significant commercial wins and important partnerships that we believe position us well to achieve both our financial goals and strategic objectives. Following are some examples. On the agency and distribution front, we had a number of wins this past quarter. First, we signed significant distribution contracts with two well-known North American travel agency customers that we expect will convert a significant number of distribution bookings to Sabre in 2024 and 2025. We expect to be able to share more specifics regarding these deals later this year. Second, we have a new long-term agreement with InterparkTriple, Korea’s largest OTA, to become their majority GDS provider. Finally, we are excited to have signed a large leisure agency in France driven primarily by the value of our multi-source platform. Regarding new distribution capability, or NDC, we continue to offer more robust functionality to a growing number of carrier and agency partners. During the second quarter, we added NDC content for Etihad Airways and also recently announced the launch of NDC content for both Hawaiian Airlines and Air Canada. Additionally, Sabre will be the first GDS to offer NDC content from LATAM Airlines later this year. Further, we also announced an expansion of our partnership with Spotnana to integrate Sabre’s NDC content within their platform targeted at TMCs and corporate travelers. In airline IT, our team recently secured renewals for our PRISM data analytics solution with American Airlines and Aeromexico and for our network planning and optimization software with Singapore Airlines. In Hospitality Solutions, in addition to going live with Hyatt, we also earned a multi-year renewal with Wyndham, the world’s largest hotel franchisor for SynXis Property Hub, after successfully migrating more than 5,000 Wyndham hotels onto the platform, nearly 1 year ahead of schedule. And we just announced yesterday that Sabre signed a long-term renewal with Wyndham for our SynXis Central Reservation System. Under this agreement, Wyndham will continue to utilize our cloud-based SynXis CRS to manage its operations, reaffirming SABR hospitality as their exclusive global CRS provider for nearly two decades. I commend our teams for achieving a number of significant commercial wins and for expanding on critical partnerships that deliver added value to customers. On to Slide 11, during the second quarter, we made further progress on each of our six growth strategies. On distribution expansion, as I mentioned, we successfully drove share gains in air distribution. Agencies and other buyers are selecting Sabre as a preferred technology vendor of choice, noting our differentiated offerings such as multi-source platform, digital payments and our hotel distribution offering. We believe we are well positioned to achieve approximately 100 basis points of share gains on an annualized basis by the end of 2024 and annually for the foreseeable future. Hotel distribution experienced strong growth in the second quarter, with hotel bookings up 12% year-over-year and the hotel attachment rate to air bookings up 4 points from 29% to 33%. We believe our hotel distribution platform, which efficiently consolidates a diverse array of content sources globally and delivers them in an intelligent and personalized manner will continue to drive strong growth. In payments during the second quarter, virtual card deployments increased 32% year-over-year. We remain excited about the pace of growth in our digital payments business. Last, we achieved a number of successes during the quarter in Hospitality Solutions. We launched SynXis Concierge AI, which is delivering compelling improvements in productivity and hotelier user experience and the next generation of SynXis retailing, which enables greater ancillary revenue opportunity beyond room reservations, using our industry knowledge coupled with the power of artificial intelligence. Furthermore, the number of properties adopting our next generation SynXis retailing solution has expanded significantly year-to-date. Turning to Slide 12, another critical piece of our strategic growth plan is our multi-source platform. This platform dynamically consumes and seamlessly offers NDC, low cost carrier and traditional EDIFACT content. It provides global scale and dynamic pricing capability to our airline customers, while providing industry best choice, efficiency and automation to buyers via a unified interface of personalized content choices. We believe this is the most seamless offering of its type to buyers in the world. On to Slide 13, our strategic focus on delivering innovation is personified by SabreMosaic, our fully modular and cloud native new technology platform. We believe this offering will revolutionize airline retailing by delivering flexible, open and scalable offer and order architecture. Using Google’s powerful AI capabilities, SabreMosaic enables airlines to dynamically create, sell and deliver an array of personalized content to travelers worldwide. We are hearing strong enthusiasm from our customers and the marketplace and are in late stage negotiations with several carriers for SabreMosaic. We look forward to providing additional implementation and commercial details in the coming months. Overall, we are consistently delivering on our strategy and operating plans and gaining strong momentum. I will now hand the call over to Mike to walk you through our financial performance and forward outlook.
Mike Randolfi: Thanks, Kurt and good morning, everyone. Please turn to Slide 14. The second quarter represented another strong quarter for Sabre in which we made steady progress towards achieving our financial objectives. Solid revenue growth in conjunction with improved cost efficiency drove strong flow-through to our bottom line, resulting in a significant year-over-year improvement in our adjusted EBITDA. The financial results in the first half of 2024 give us confidence to increase both our revenue and adjusted EBITDA guidance for full year 2024 which I will discuss in greater detail shortly. We ended the quarter with a cash balance of $634 million and we expect to be free cash flow positive in Q3, Q4 and for the full year. Please turn to Slide 15. As you can see in the table, we exceeded our second quarter guidance for revenue and adjusted EBITDA and achieve positive free cash flow. The revenue outperformance was primarily driven by a favorable rate mix on air distribution bookings and higher than expected hotel distribution bookings, strong flow through of revenue and lower overall operating expenses drove our adjusted EBITDA beat versus guidance. Turning to Slide 16. Total second quarter revenue was $767 million an increase of $30 million or 4% versus last year. Distribution revenue totaled $551 million a $20 million or 4% increase, compared to $530 million in Q2 2023. Our total distribution bookings were $91 million in the quarter, a 1% increase compared to $90 million in Q2 2023. Our average booking fee was $6.05 in the second quarter, up 3% from Q2 2023 as we experienced a richer mix of bookings, including fewer discounted Asia group bookings. IT Solutions revenue totaled $144 million in the quarter, compared to $140 million in the prior year. Hospitality Solutions continued its strong trajectory with Q2 2024, revenue totaling $83 million and approximately $7 million or 9% improvement versus revenue of $77 million in Q2 2023. Adjusted EBITDA in the second quarter was $10 million an improvement of $6 million versus prior year. We expect accelerating revenue and CRS transaction growth in the second half of the year from our Hyatt implementation. We are on track for double digit revenue growth and double digit margins in hospitality solutions for the full year, 2024. Sabre’s adjusted EBITDA of $129 million in Q2 2024 versus $73 million in Q2 2023 represented a $56 million improvement year-over-year. The continued benefit of lower unit costs from our technology transformation and the cost actions implemented last year helped drive our adjusted EBITDA margin from about 10% in Q2 2023 to 17% in the second quarter this year. Lastly, we generated free cash flow of $8 million in the quarter, which represents the highest second quarter free cash flow generated in 5 years. Turning to Slide 17. Regarding guidance for the third quarter of 2024 we expect revenue of approximately $775 million and adjusted EBITDA of approximately $135 million. For the fourth quarter, we expect revenue of approximately $725 million and adjusted EBITDA of approximately $120 million. We expect to generate positive free cash flow in both the third and fourth quarters. Overall, we expect to be free cash flow positive for 2024 with the majority occurring in the fourth quarter. Our guide for sequentially lower fourth quarter versus third quarter revenue and adjusted EBITDA is driven by seasonality. As a reminder, the fourth quarter is typically the lightest quarter for air distribution bookings, but the strongest quarter for free cash flow generation, due to favorable seasonality in working capital. For full year 2024, we currently expect revenue of approximately $ 3,050,000,000 and adjusted EBITDA of approximately $525 million. Furthermore, we believe our second quarter results highlight that we are on track to achieve our 2025 targets of greater than $700 million in adjusted EBITDA and greater than $200 million in free cash flow, as outlined during our Q4 2023 earnings call in February. In conclusion, our team members once again delivered strong financial results in the second quarter, achieved key operational and commercial accomplishments and developed critical new products to support our strategic priorities. Sabre took another significant step towards achieving our long-term objectives in the second quarter, and we remain committed to delivering on our strategic priorities in the years to come. And with that operator, please open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Jed Kelly of Oppenheimer & Company. Your line is now open.
Jed Kelly: Hey, great. Thanks for taking my question. Just on the guidance. It seems that you’re sort of maintaining your revenue guidance despite some airlines cutting capacity. So can you just kind of frame that with the industry? And then Kurt, I think you mentioned some leisure softness. Can you just discuss what’s going on there, and then I have a follow-up?
Mike Randolfi: Thanks for the question, Jed. First, I would just remind you that our baseline assumption for market growth, included in our guide is flat to nominal growth. Now, with that, a couple of things, I would say is we do expect actually to transition to stronger air distribution bookings growth in the second half of the year, driven primarily by a lot of the commercial agreements that we’ve recently reached. So we feel really comfortable overall with our guide. The other aspect with regards to capacity and how we see it affecting Sabre is couple of things. First, keep in mind, even with the capacity reductions, most airlines are still flying about 5% more, or indicating they fly about 5% more, on average, this year, in the second half than last year, but with some of the capacity reductions, it tended to be targeted more on lower fare leisure traffic that’s domestic, and a lot of the airlines have been working to ship capacity to long haul International, which has held up a lot better. And so net-net, we actually think that’s a favorable dynamic for us.
Kurt Ekert: Thanks. Jed, this is Kurt on the second question about leisure softness. We saw this broadly across both OTA as well as brick and mortar leisure agencies. On the OTA front, we discussed back in the February call, the increase in direct connectivity that we had seen over the COVID period. We think there’s a small amount of annualization of increased direct connect activity that happened over the past year, but nothing material in terms of new direct connect. And then broadly for leisure, it’s tough to see from the numbers, but it may be that there’s a very slight share shift from the intermediary channel to the airline direct channel, which is partly based on where capacity is today.
Jed Kelly: Got it. And then…
Kurt Ekert: What I would tell you is that when we look at Q3 we’ve seen more positive trends. So as we’re 30 days into – 31 days into the new quarter, we’re actually seeing positive GDS market growth, both for corporate and for leisure.
Jed Kelly: Got it. And then my follow-up is just, just on the hospitality solutions, revenue accelerating you sign some good contracts margins expanding. Can you just talk about how that segment fits into the strategic profile of Sabre and just, is there like potential for it to create higher shareholder value, potentially looking at other strategic alternatives for that segment.
Mike Randolfi: Yes, thanks, Jed. We are, as we’ve indicated, repeatedly now for a number of quarters, our Hospitality Solutions business is on fire. Our products are resonating, our CRS, our PMS, and then the new retail studio suite of solutions, we’re expanding revenue and margin. We’re winning in the enterprise and the mid-tier space, and overall, doing very well. Our focus is on allowing Hospitality Sto realize to very significant potential that’s a very fragmented market, and those solutions are really gaining a lot of traction. So we see Hospitality Solutions is a very important part of our business strategy.
Jed Kelly: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of James Goodall of Redburn. Your line is now open. James?
James Goodall: Yes. Hi, sorry, sorry everyone. I was on mute. Thanks for taking my question. First one’s just, I guess, on the GDS side of the equation. I was just hoping if you could help square the commentary around the market share gain of 0.2% versus the fact that air bookings were down 1% and your main competitor saw a 3% expansion in bookings. Is that driven by geography? We just love a little bit sort of color there, please. Thank you.
Mike Randolfi: Yes. So first of all, let me just reiterate, in Q2 we gained air distribution industry share for the sixth consecutive quarter. And as we look forward, we’re confident that our share gains will accelerate meaningfully, starting in Q3 and that’s based on significant sign but not yet implemented business, as well as a very rich pipeline. And again, as we look at the trading in the first part of Q3, we’re seeing positive GDS, market or industry, year-on-year growth, as well as improving sequential saver share performance. I think what’s going on here maybe an apples-to-oranges comparison, and let me explain so we can see industry MIDT information, which includes all GDS EDIFACT air bookings. We know what our NDC volumes are, and going by what our competitors have said publicly, namely, that NDC is in the low single digit as a proportion of air distribution bookings. So let’s say, for argument’s sake, at or below 200 basis points. We can see that in our – that our competitors in Q2 were slightly below where we were on a year-on-year air distribution volume basis. Specifically, what we’re seeing is that Amadeus numbers for EDIFACT plus NDC distribution are again in the range of and in fact, slightly below where Sabre is on a year-on-year air distribution volume performance, which is obviously different than what they are reporting. So, one possible reason for this is that Sabre does not include NDC IT bookings in its air distribution volumes. For clarity, NDC, it is the technology provided on the airlines side of the NDC API and inside the airline’s technology environment, we consider NDC IT part of our airline solutions, or airline IT business and not part of distribution or distribution volumes. So it may be that others have changed their definition of what comprises distribution volumes, hence comparing apples to what we to what used to be oranges and for us, has not changed. The bottom line is that our offerings are resonating well within the marketplace, and we are primed for continued growth. But again, what we’re seeing is that we are gaining share. We are outperforming both of our main GDS competitors.
James Goodall: That makes sense. Thank you, and I guess then just sort of shifting tack onto sort of SabreMosaic, and you pointed to this being an offer order system, I guess where are you in terms of sort of the overall development, could a carrier theoretically run your offer order system as a standalone today, or is there still some development that needs to be done? And I guess in terms of sort of the rest of the IT stack that will come so sort of the settle and deliver functions. Whereabouts are you with those? Thank you.
Kurt Ekert: Thanks. And great question. So super excited about SabreMosaic, cloud native, fully modular AI infused, really next generation, excellent technology. When you look at SabreMosaic, there are actually 10 product suites that we will at full development, have in place today. We’ve made great progress, predominantly on the offer side. And for example, our retail intelligence suite of products fit in very well in production with some airlines, and can drive revenue accretion for carriers today, and so what we’re seeing from a demand standpoint is the desire to implement the offer or the retail solutions, because there’s very little dislocation that an airline has to do to adopt these. And in a softening yield environment, these can be very beneficial. Order is more challenging, because not only does it involve us deploying technology to displace the traditional PSS, and by the way, the way we built this is in its modularity. It can sit on top of SabreSonic, it can sit on top of a homegrown or any other PSS, and the carrier can also buy this buy component piece. It doesn’t have to buy a monolithic system in this future state. But for order, the typical network carrier has hundreds of applications that hang off of the PSS that they’re using. So there’s a massive change effort that will happen, not only with Sabre involvement, but the airline’s involvement, and most people think that’s a 3, 4, 5-year journey. So on order, suffice to say, we have more development to do in the coming years, but we will do that in conjunction with a couple of key carrier partners, and then we’ll promulgate that more broadly.
James Goodall: Fantastic. Thank you. And if I could cheekily ask one more you said you’re in late stage, stage negotiations with several launch carriers. Is there any sort of color that you can give on who they may be if they’re existing Sabre customers, if they’re not existing sort of Sabre PSS customers, that would be great? Thank you.
Kurt Ekert: I don’t consider cheeky James, if that includes both existing Sabre customers as well as non-Sabre customers.
James Goodall: Fantastic. Awesome. Thanks guys.
Kurt Ekert: Thank you.
Operator: Our next question comes from the line of Josh Baer of Morgan Stanley. Your line is now open.
Josh Baer: Great. Thank you for the questions. I wanted to talk about cost of revenues for a little bit, particularly given your momentum around NDC, just wondering how, what portion of that cost of revenues are incentive fee, and how should we expect those to trend going forward in an increasing NDC world?
Kurt Ekert: So, virtually all of the cost of revenue is essentially incentive fee. There is a small portion of sales, salaries that are in there, but it’s all – it’s virtual. Almost all of it is incentive fee. The way I would think about it is in a couple of respects. First, I would just say, if you look at our gross margin overall, roughly around 60% I would expect, as we move forward, that would generally be the trend, particularly as we look through this year, and likely as we foresee even into next year. With regard to NDC, the way I would think about NDC is a couple of things. Overall, from what we see so far, what we have experienced in the agreements we have reached, the unit economics are pretty similar on NDC economics through most parts of the globe, with maybe a slightly lower average booking fee and a slightly lower incentive fee, with the exception being email, which has a higher average booking fee there. But overall, we would expect the gross margin and therefore the cost of revenue to be roughly in similar ranges from a percentage standpoint, as we see today.
Josh Baer: Got it. And we have seen the revenue per booking fee jump up above $6, a couple times now. Is that the right level, or is it closer to the $5.80 region or something else? And if not above $6 just given the mix shift in the types of bookings, is that in part because of NDC weighing on that?
Kurt Ekert: Yes. First, keep in mind, we have had growing NDC volumes over the last year, and in that environment, our booking fee has continued to increase. What I would say is, overall, a couple of things, as we look at, call it, the last couple of quarters, and last quarter specifically, couple of things that have aided our average booking fee. First, we have had a couple of quarters now, where if you look at relative to historical trend, Asia Pacific group bookings have trended a fair bit below normal. At some point we see that, we see that reverting to a norm. The second thing in the second quarter is EMEA, on a relative basis was stronger than the other regions, and that’s a higher average booking fee. So, as we move forward, I do think we are going to maintain a relatively rich booking fee, but I do see it ticking down a little bit below $6, but probably pretty near $6. So, I would expect Q3 and Q4 to be lower than where we are today. But I would say still somewhat near $6 is what I would expect.
Josh Baer: Great. Thank you.
Operator: One moment for our next question. Our next question comes from the line of James Lee of Mizuho. Your line is now open.
James Lee: Great. Thanks for taking my questions. Two quarterly questions and one macro question. And one, first on the quarterly, on the margin, obviously, the numbers your guidance are very impressive, congratulations. And can you maybe unpack some of the top drivers you are seeing allow you to drive this EBITDA B2? Secondly, obviously, a lot of people in the airline industry talk about the CrowdStrike issue, just wondering what kind of impact you are seeing in your GDS business. And lastly, on the macro question, I was wondering we can comment about overall business travel environment, given kind of mix economic environment that we are seeing right now. So, we would love to get the state of business travel for you guys. Thank you.
Kurt Ekert: James thanks. Let me take the second and third questions, and I will give Mike back the mic for the third question. So, first of all, with respect to CrowdStrike, Sabre does not deploy CrowdStrike security on our systems, so we were not directly impacted by these events. Obviously, being a part of the ecosystem and supporting many airlines and other providers, there is a tertiary impact to Sabre, but it’s not material in any way. Secondly, with respect to the business travel environment, what we have seen, and what I think you largely hear from TMCs, corporations and from various supplier customers, is that corporate travel is expected to grow at relatively historic rates, and that’s sort of 3%, 4%, 5% per year on a unit basis. And we are pretty bullish that that will be the case going forward. In fact that’s largely what we are seeing. So, we felt very optimistic and good about that. As you may know, Sabre is very well positioned with our TMC and our corporate footprint to benefit from that growth.
Mike Randolfi: With regard to our B2 and adjusted EBITDA, first, I would just highlight that on revenue, B2 by $17 million. The largest driver of that by far is the average booking fee, which was certainly more favorable than we expected. And then to a smaller degree, as you look at hotel distribution bookings, that exceeded our expectations. I mean that’s up 12%. The team there is doing a great job. And so that helped to support the $17 million of higher revenue. Now, in addition to that, on the cost side, we start – we have realized benefits sooner than expected from our technology transformation. And if you look at Q1, we achieved a lot of our tech transformation milestones. And from that, we have now come down to a much more favorable run rate in terms of technology expense, even more favorable than we expected. Those are the drivers of our B2 adjusted EBITDA.
James Lee: Great. Thanks so much.
Operator: One moment for our next question. Our next question comes from the line of Alex Irving of Bernstein. Your line is now open.
Alex Irving: Hi. Good morning. Two from me, please. First on Mosaic and following up on James’ question earlier on. How do you think about the revenue and earnings opportunity here as you begin to implement customers, both gross and net of any replacement of existing Sabre products? And then second, we saw American Airlines and modified distribution strategy in the quarter. How had your conversations with travel agents changed since then? And are their priorities different to what they were about, call it three months ago? Thanks.
Kurt Ekert: Yes. Thanks. And let me take these first on. I think your question was on SabreMosaic, is that the first question?
Alex Irving: Yes. Correct, the revenue and earnings opportunity from that.
Kurt Ekert: Yes. So, we actually – we built – we have stabilized the Airline IT business, as you can see with the revenue and the buying performance now. And we have gotten a lot, I think a lot healthier relationships than we had historically, SabreMosaic is getting great resonance in the market. From a near-term standpoint, you won’t see material financial impact here, largely because of what’s being sold now is more on the offer side, basically our revenue suite of products. From a mid to long-term standpoint, there is a longer buying cycle, and there is a long implementation cycle here. We believe this has the promise of being a catalyst to turn Airline IT back into a strong growth business for Sabre, again, over the medium to long-term. So, we are very excited about that. In terms of what the commercials will be, or the unit economics, it’s very possible that the industry will move away from the traditional PB model that’s used in the PSS business. But it’s too early to tell exactly what the new model will be and where we will end up. We have a point of view, but I wouldn’t share that from a market standpoint yet. With respect to AA, AA is a key customer of ours. We really value them. We think it’s great that they have seen and others have seen the benefits that intermediaries and corporate travel and leisure agencies, etcetera, can bring to them in terms of very qualified, high yield eyeballs. We do think NDC is here to stay. And as we go forward, it will continue to grow. We think we are very well positioned with our NDC connectivity and the functionality we built as part of our multi-source platform, we think is second to none. And so what we are hearing from the large TMC customers, large brick and mortar customers, OTAs, is that the mousetrap we delivered, which they believe will be the best scale model in the marketplace.
Operator: One moment for our next question. Our next question comes from the line of Victor Chang of Bank of America. Your line is now open.
Victor Chang: Hi. Good morning. Thanks for taking my questions. Maybe going back on the bookings side, I think you have explained a bit about the differences versus Amadeus, but looking at H2 as well, I think Amadeus is dynamically soft to Q3. I think you are saying, you are more confident Q3, Q4 growth. I think you mentioned that some commercial wins, can you talk a bit about that? Is that more on the corporate side or leisure side? And maybe which regions are they from? And then separately, what – I think Sabre historically, if I remember correctly, has a higher split of corporate versus leisure. And given, I think you have a lot of corporate wins in the past couple of quarters, how has that split evolved compared to 2019 levels? And if I think about that actually, if you are higher – if you have a higher corporate mix, and give a more favorable corporate growth going forward, is that what is driving your confidence into H2? And then last question is with regards to just investment, in general, software investment, I think a number of companies within our coverage, obviously report about soft demand for software, particularly in the airlines sector. I think one of your peers talk a lot about airlines being reluctant to spend on new software. Is that what you are seeing as well, maybe longer sales cycle in the hotel and airlines space on the software?
Kurt Ekert: Victor, thank you for all the questions. I am going to do my best to address them, and if I don’t, please just chime back in and tell me what I missed. I tried to capture all that. Let me start with the last piece first, which is software demand amongst suppliers. As we indicated, we are seeing robust demand for our hospitality solutions products, and very robust growth there. So, we think into the future, we are going to continue to see 10% revenue CAGR prospectively with expanding margins over the next several years. So, we are very bullish on that space. In the airline solutions space, what we are seeing in terms of the most demand today is for two different areas. One is for our retail intelligence or revenue accretion products, because these can be bolted onto an airline’s existing technologies, speedy solutions. The model there can be gained share and do our license fee. And then secondly, we are seeing a lot of renewed enthusiasm for PRISM, which provides reporting and information on the corporate marketplace to help airlines optimize their corporate performance. So, I would say, while, yes, I have heard that there is relative softness, we have not seen or experienced that. The one thing I would say is with respect to SabreMosaic and the industry transition from PSS onto offer and order, I don’t know that the industry will have converted fully to offer an order by 2030, that’s probably aspirational. We look at this as a much longer horizon. I think you will see offer get traction in the next several years. And again, the order piece is going to take longer. Let me touch on the booking commentary. And I spoke earlier about the apples-to-oranges comparison. Let me just illustrate the point, and then I will talk a bit about Sabre. So, when I was talking about NDC IT as compared to an NDC distribution component, so in a scenario, for example, we are a technology company. Let’s in this case, say Amadeus is providing NDC IT to one of its hosted carriers. And let’s say Sabre, for example is connected to that airline’s NDC API. And we are then sitting between that NDC API and the buyer, and we are facilitating the NDC transaction. We would consider or count that within our air distribution volumes, but we don’t – we would not consider the NDC IT solution in the airlines environment within that volume as well. It may be, we don’t know that Amadeus is actually counting the NDC IT booking in their air distribution volumes. But again, we are not positive, what’s going on there. For us in terms of what we are seeing is acceleration of volume and revenue into the second half of the year, and going forward, we are seeing share gains as we indicated. When I look at the – I can’t offer a lot more detail on the carriers that we have won, or excuse me, the agencies that we have won beyond what we said already. We will do that prospectively. But I would say, it’s a mix of OTA, TMC, very large leisure customers. It’s sort of a mix. And then geographically, we actually have our two biggest wins ever in each, France and Spain in the last quarter. This is our biggest win in Asia Interpark in quite a while. The two North American wins which I talked about are both very meaningful, sort of in the well over 10 million segments that we will convert from these two. And our pipeline is very rich. So, we are seeing that basically strength across the board. Our multi sourced platform, our hotel distribution offering and our payment solutions are really resonating well to customers. And today, I would say, versus say 10 years ago, where the choice of GDS may have been one, where the agency or the buyer felt more agnostic and they chose based on similar technology and similar content, they now are telling us that this is a technology decision, and that we are becoming one of, if not their technology provider of choice. So, that’s really changing the dynamic of how decisions are made in the marketplace. And Victor, if I failed to address any of the points you asked, please let me know.
Victor Chang: I think it’s very clear. Maybe just one last point is on the split of corporate versus leisure. Any color that you can talk about, I think you basically have more – had a higher corporate mix, if I am correct.
Kurt Ekert: We have I think the highest TMC corporate mix of any of the GDSs, by far. It is a minority portion of our overall booking portfolio, but we are relatively much more exposed to that than our competition.
Victor Chang: Understood. Thank you. And maybe if I can squeeze one last one in. On American, obviously, now they are moving content back on EDIFACT and back on GDSs, have you seen some positive effect in July already from that?
Kurt Ekert: Yes, thank you. We are not going to comment specifically on American. I would say, overall, we are seeing improving trends in Q3 both on a market and a share basis for Sabre. And we certainly appreciate the relationship with American.
Victor Chang: Got it. Thank you. Very clear.
Operator: I am showing no further questions at this time. I would now like to turn it back to Mr. Kurt Ekert for closing remarks.
Kurt Ekert: Thanks everyone for your continued interest. We are excited about the momentum that we are gaining in the marketplace. We look forward to speaking to you again next quarter. Thank you.
Operator: Thank you for your participation in today’s conference. This concludes the program. You may now disconnect.